Operator: Good afternoon, ladies and gentlemen, and welcome to the Enthusiast Gaming Holdings Inc. Second Quarter 2024 Financial Results Conference Call. At this time, all lines are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions] This call is being recorded on Wednesday, August 14, 2024. I would now like to turn the conference over to Mr. J.B. Elliott, Chief Strategy Officer and General Counsel. Please go ahead, sir.
J.B. Elliott: Thank you, operator. Good afternoon, everyone, and welcome to the Enthusiast Gaming Second Quarter 2024 Results Conference Call. I’m J.B. Elliott, Chief Strategy Officer and General Counsel. With me today is Interim CEO, Adrian Montgomery; and our Chief Financial Officer, Felicia DellaFortuna. We’ll begin with some prepared remarks and then open the floor to questions. Before we begin, I’d like to remind everyone that today’s presentation contains forward-looking information that involves known and unknown risks and uncertainties and other factors that could cause actual events to differ materially from current expectations. These statements should not be read as assurances of future performance or results. Such statements involve known and unknown risks, uncertainties and other factors that may cause actual results, performance or achievements to be materially different from those implied by such statements. A more complete discussion of the risks and uncertainties facing the Company appears in the Company’s management discussion and analysis for the three month period ending June 30, 2024, which are available under the Company’s profile on SEDAR+ as well as on the Company’s website at enthusiastgaming.com. You are cautioned not to place undue reliance on these forward-looking statements, which speak only as of the date of this presentation. The Company disclaims any intention or obligation, except to the extent required by law, to update and revise any forward-looking statement as a result of new information, future events or for any other reason. Now, I’d like to turn the call over to Adrian Montgomery. Adrian, the call is yours.
Adrian Montgomery: Thank you, J.B., and a warm welcome to everyone joining our second quarter earnings call. It has taken significant effort across the entire organization to deliver on the commitments we made for the first half of this year, and I’m proud to say that these efforts have paid off. Today, I’m pleased to present results that confirm that our Company is not just stable and well-funded, but has also effectively reached breakeven and has some promising quarters ahead. While reaching this point has required significant work, it comes as no surprise to me that we’ve gotten here. I know firsthand the strength of our core assets and the vibrant communities that underlie this business. The enthusiasm within these communities remains strong and demand for our product innovations continues to grow. The resilience of the business demonstrated through challenging times is nothing short of commendable and we have emerged from this period on our strongest footing ever and now with renewed confidence, we are back to business with bright days ahead. Much of this success can be attributed to the significant advancements we saw in Q2. During this quarter, we experienced rapid optimization of our new ad tech setup, propelling many of our properties to new heights in June. Our cost efficiency initiatives are also bearing fruit with the full quarter’s results now reflecting their impact. We expanded several product lines, forged a strategic partnership with the National Hockey League and renewed our existing partnership with the NFL for a third season. Additionally, we undertook a complete overhaul of our direct sales efforts. Confident it is back on track, we have once again started adding sellers with seven direct sellers added since Q2. As a result, we’ve seen renewed interest and activity around our direct sales offerings, which we are confident will translate into increased bookings as the year progresses. I note that we have recently won significant new business from some of the most sought after brands in all of advertising, including both Coca-Cola and McDonald’s. These collective efforts culminated in a record breaking quarter. Our adjusted EBITDA loss narrowed to just $400,000 a remarkable $1.4 million improvement from Q1 and an impressive $3 million gain year-over-year. Indeed, we have reached a milestone being effectively breakeven in Q2. I could not be more proud of what we have achieved in Q2, particularly considering we had no seasonal advantages. The first half of the year is typically a slow period for businesses like ours, plus NFL TNG was in its off season. And unlike Q2, when we host Pocket Gamer Connects London, there were no major live events in Q2. Moreover, we completely transitioned our ad tech stack, underwent several leadership changes and operated with a significantly reduced headcount due to our strategic repositioning. Indeed, Q2 was a baseline, a quarter with no advantages. Despite these challenges, we delivered our best ever adjusted EBITDA result in a period when such an outcome might not have been expected. This achievement is a testament to the strength and dedication across all areas of our business, particularly within products, which continue to grow and thrive. Our owned and operated properties are taking on an increasingly prominent role in our P&L, reducing our reliance on network revenue and giving us greater flexibility to scale at higher margins. These properties are key drivers behind our gross margin expansion, which reached an impressive 66% in Q2, up from 35% in the prior year. U.GG, one of our flagship communities, continues to expand, empowering millions of players to enhance their gameplay across a growing number of game titles. In Q2 alone, U.GG launched support for two new titles, Teamfight Tactics in April and Helldivers 2 in June. And, the momentum does not stop there. Following Q2, U.GG also rolled out support for Swarm, the latest game mode in League of Legends. We have exciting product advancements on the horizon, including the launch of a Valorant standalone app in the second half of this year and the launch of support for 2XKO slated for release next year. Moreover, there are several key catalysts in the second half that we expect will drive increased traffic to U.GG including the much anticipated release of Arcane Season 2 in November and the League of Legends World Championships taking place in November and December. Icy Veins has continued its expansion, adding coverage for Zenless Zone Zero in July with Honkai: Star Rail soon to follow. The migration to our new ad tech stack has given Icy Veins a significant boost, leading to an all-time high in RPM performance. The second half of the year brings even more excitement for Icy Veins with major catalysts on the horizon, including the highly anticipated World of Warcraft expansion, The War Within, set for release on August 26 and the Diablo IV expansion, Vessel of Hatred, slated for October 8. These major game releases and flagship titles supported by Icy Veins are expected to drive substantial traffic to the site at a time when its ad monetization will be at its peak. TSR, The Sims Resource, had a standout quarter, marked by the launch of several innovative product advancements, including curated bundles for paid subscribers and the introduction of free trials for our VIP service. These free trials have driven a significant increase in conversions from new customers to paid subscribers and they have shifted our activation metrics with premium annual packages now making up the majority of all sign ups. The success of the VIP bundles, coupled with the rollout of a fresh content strategy is further cementing TSR’s position as the go-to-platform for Sims fans worldwide. As a result, both June and July set new records for subscriber additions this year. NFL Tuesday Night Gaming Season 3 is designed to bring fans even closer to the gaming creators and the NFL stars they love. This season will feature a 26 episode series with a lifestyle focused format that invites fans to explore the lives and personalities behind the helmets and headsets. Along with compelling gameplay segments that deepen the connection between viewers and the players, Season 3 will take NFL TNG on the road, visiting key hubs across the United States where gaming and football fans intersect. These format changes will deliver fresh content and new engagement opportunities. They will expand our sponsorship reach and reduce production costs. The new season kicks off in September, featuring partnerships including Toyota, Sargento and Frigo. Our multi-year partnership with the NHL is progressing well as we prepare for its launch in the 2024, 2025 season. The details of this collaboration will be announced jointly by the NHL and ourselves in the coming weeks, and we’re excited to bring this product to market. We’ve identified several synergies between our NFL and NHL programs, including cost efficiencies, production synergies and complementary sales markets. This partnership will be a flagship component of our direct sales offerings and it will open doors to a roster of major existing NHL sponsors. Pocket Gamer has had an exceptional first half of the year with B2B events and media bookings reaching all-time highs. Despite Q2 being a traditionally slow quarter for PGC, our Dubai GameExpo Summit in May, held in partnership with the Dubai government, was the largest event we’ve ever hosted in the region, attracting over 1,350 delegates from 650 companies across 60 countries. Looking ahead, the Mobile Games Awards at Gamescom in August, now in its seventh year, is set to be our biggest yet, surpassing expectations with ticket sales still going strong. PGC Helsinki in October and PGC Jordan in November are also on-track to set new records and will contribute strongly to our Q4 performance. Additionally, we are actively planning more events for the end of the year and expanding our PGC conferences into 2025. Fantasy Football Scout has also been exceptionally active, recently announcing a partnership with the English Football League for our upcoming fantasy game, the Fantasy EFL. This new collaboration complements our existing relationships with the Premier League and UEFA, significantly expanding our target market. Collectively, these leagues have engaged over 16 million fantasy football players in the past year. Additionally, our premium subscription revenue saw a notable increase from April to June, largely driven by the Euro ‘24 campaign even during the traditionally slower period. FFS has also launched a new app on iOS and Android and it is enhancing its premium members area with upgraded features including StatsBomb data for the Premier League and UEFA Champions League games. Looking ahead to the ‘24 ‘25 season, we’re excited to announce new marketing partnerships with sleeper and fan team, which will further enhance FFS’s offerings and reach. And of course, the busiest time of the year for FFS is just around the corner with the Premier League season kicking off on August 17th. These advancements across key products were instrumental in achieving the record adjusted EBITDA numbers we reported for Q2. The journey to this milestone was challenging. When I returned in January, we were facing significant obstacles: declining subscriber numbers, rising costs and struggling programmatic and direct sales efforts. The Company was also grappling with limited cash flow with only $1.9 million remaining at the end of Q1. Despite these difficulties, our management team remained confident and focused. We knew our communities were strong and engaged and that Enthusiast Gaming is firmly rooted in an exciting industry with a unique value proposition. Gen Z and Gen Alpha spend substantial time with us, actively interacting with the content and experiences we provide and this is a tremendous and rare asset. So, now we find ourselves here in August, not only having effectively reached breakeven, providing a solid foundation for future growth, but also having strengthened our balance sheet. In April, we completed the sale of a subset of non-core, non-profitable casual gaming assets for $4 million. This move not only trimmed our adjusted EBITDA loss, but also enhanced our liquidity. And of course, in July, we successfully secured $20 million in debt financing. This was a strategic investment from a supportive partner that has significantly strengthened our financial position and enhanced our liquidity. This crucial boost combined with our stabilized P&L, ensure that we are well-funded and ready for future growth. With our financial footing firmly established, Enthusiast Gaming is excellently positioned to capitalize on the numerous opportunities and catalysts ahead of which there are many. It is these upcoming catalysts that renew my confidence in our future. If we were able to establish a baseline of near breakeven in Q2 despite the quarter’s disadvantages, imagine the possibilities as we build on this foundation. What happens when the second half seasonality boosts our programmatic and direct sales? What happens when Season 3 of NFL TNG and our NHL program both return to the air bringing along their associated direct sales partners. What happens when our major Pocket Gamer events in Helsinki in Q3 and London in Q1 return? How significantly can these contribute to profits? With our enhanced liquidity now giving us greater operational flexibility, the potential is huge. Consider the impact of our management team’s renewed focus, the ramp up of our seven new direct sellers added in Q2, the continued optimization of our new ad tech stack and the coming major game releases which will further boost our key properties. I’ll tell you what happens. Each of these elements will build on our solid Q2 baseline setting us up for a series of increasingly strong quarters. With this baseline in place and this pipeline of catalysts, I once again feel like we are just getting started. Thank you. And, I will now turn the call over to Felicia, to provide further commentary and details on the financial results. Felicia?
Felicia DellaFortuna: Thank you, Adrian. As Adrian mentioned, we made a deliberate strategic shift to focus on our most engaged owned communities and the revenue streams they generate. This approach delivered in Q2 2024 where we saw a dramatic improvement in our financial performance. Our adjusted EBITDA loss narrowed to just $400,000 a $3 million improvement over last year and a $1.4 million improvement over Q1 2024, setting a new record for the Company. We are confident in our path to a sustainable and profitable future and these second quarter results underscore this momentum. We achieved an operating expense structure that was $13 million lower than the same period last year and $4 million lower than Q1 2024, reflecting the full impact of the operational efficiency measures implemented in March. Our gross margin surged to over 65%, up from 35% in Q2 2023, and we improved our margin by a further 586 basis points compared to Q1. By concentrating on owned and operated properties, we saw a 71% increase in RPM across web properties in Q2 2024 relative to Q2 2023, and we made significant strides in ad density and viewability, yielding a month-over-month revenue increase of 35% in May, even with only partial integration of Playwire and a further 51% month-over-month increase in June as the majority of our sites came on to the new platform. We are also seeing strong progress in our non-financial metrics, highlighting the overall health and sustainability of Enthusiast Gaming and the positive trajectory of our highly engaged communities. We maintained our page view traffic from Q1 2024, which was approximately 20% higher than Q4 2023, even without the seasonal list on sites such as U.GG, while also successfully integrating Playwire across the vast majority of our sites. Excluding the video platform, we increased unique visitors year-over-year by over 30%, while maintaining time spent on-site, resulting in a 26% increase in total time spent in Q2 2024 compared to Q2 2023, despite phasing out certain represented sites as part of our focus on profitability. We revitalized The Sims Resource, increasing subscriber counts in June after four months of stagnation. This growth continued through July and August. We also successfully in sourced our production capabilities and launched our first special episode of NFL Tuesday Night Gaming on July 23, featuring our new on-the-road content strategy at the NFL Flag Championships. The episode garnered over 300,000 views, 60,000 watch hours, and an average viewer duration of over 10 minutes. The debut episode of Tuesday Night Gaming on September 3, will showcase household names from the NFL, including Kyren Williams, running back for the Los Angeles Rams, and fan favorite Madden superstar, Matthew MMG Meagher. We also bolstered our balance sheet, securing a $20 million four-year non-revolving term loan from Beedie Capital in July. The proceeds from this loan will provide the Company with essential growth capital. In respect of our more detailed financials, I would first note that our results are presented in Canadian dollars. The significant majority of our revenues and expenses are measured in U.S. dollars and are translated into Canadian dollars for presentation in our financial statements. The exchange rate between the U.S. dollar and our presentation currency of the Canadian dollar should be monitored and considered when analyzing our forecasting results. Additionally, it’s important to note that the historical financial results don’t fully reflect the changes in revenue mix as well as cost reductions enacted and so historical financials will likely not bear a strong resemblance to future results. Turning to the financial results for the second quarter. We ended the quarter with $2.2 million in cash as of June 30, 2024, and a net working capital deficiency of $36 million consistent with the figure reported at December 31, 2023. The majority of this deficiency stems from $22 million in current debt related to our credit facility and $3.5 million in contract liabilities or deferred revenue to be recognized in future periods, with the remainder being ordinary course working capital items. However, we have successfully strengthened our balance sheet post quarter with the $20 million term loan, bringing the Company to a strong positive working capital position net of the current debt. Now, to our P&L. For the three months ended Q2 2024, revenue totaled $14.7 million a 65% decrease compared to $42.6 million in Q2 2023. Media and content revenue decreased from $36.9 million to $10.6 million a 71% reduction or $26.3 million. The primary driver behind this decline was our strategic decision to deprioritize lower margin revenue on our video platform, which accounted for approximately $20 million of the $26 million decrease in media and content revenue. Additionally, direct sales contributed to the year-over-year decline, decreasing from $8.7 million in Q2 2023 to $4.1 million in Q2 2024, a reduction of $4.6 million or around 50%, largely due to having half the number of ramp sellers versus the year ago period. However, despite these decreases, net revenue retention for direct sales deals over 50,000 remained consistent at around 60%. Net revenue retention is calculated by dividing the direct sales revenue for the trailing 12-month period from advertisers who were active in the previous 12-month period by the total direct sales revenue for the trailing 12-month period. Said another way, there is a healthy base of large recurring customers who continue to generate a significant portion of our direct sales revenue. This gives us a foundation of repeat business from which to grow. While revenue retention remained consistent, the number of new logos decreased year-over-year due to a reduced number of ramp sellers in the year ago period. However, looking ahead to Q3 2024, we have successfully increased our seller count with more ramp sellers in Q3 2024 than Q1 of this year. We are also excited about the new and returning logos we’re seeing in Q3 2024, including major brands such as McDonald’s, Amazon, State Farm, Sargento and White Claw. The remainder of the decrease in media and content revenue is attributable to a decrease in programmatic web revenue, primarily driven by fewer page views. This resulted from a more selective approach to represented sites aimed at improving overall profitability. This focus led to a 71% increase in RPM in Q2 2024 compared to Q2 2023, which substantially offset the loss in page views. Esports and entertainment revenues decreased by $700,000 year-over-year from $1.7 million in Q2 2023 to $1 million in Q2 2024, primarily due to a shift in event timing. And finally, subscription revenue decreased by $900,000 or 23% from $4 million in Q2 2023 to $3.1 million in Q2 2024, primarily due to the sale of certain non-core, non-profitable assets under Addicting Games on April 15, 2024. Gross profit was $9.7 million in Q2 2024, down 35% compared to the $15 million of gross profit reported in Q2 2023. Gross margin increased from 35.2% to 66.2%. This significant margin improvement highlights the enhanced contribution and focus of our owned and operated properties, direct sales and subscription revenue to our overall revenue profile. Additionally, the increase in gross margin reflects the impact of our strategic decision to deprioritize certain represented video channels. Total operating expenses in Q2 2024 were $11.6 million down over 50% from the year ago quarter. This figure includes non-cash items of depreciation and amortization of $700,000 and share based compensation of $400,000. In Q2, we achieved an adjusted EBITDA loss of $400,000, a significant improvement from the $3.4 million loss reported in Q2 of last year. This quarter’s adjusted EBITDA excludes approximately $100,000 in severance costs and $200,000 in public company costs relating to incremental listing fees and D&O insurance costs, which are nonrecurring following our delisting from NASDAQ and the SEC deregistration. Net loss and comprehensive loss was $2.9 million in Q2 2024, a substantial reduction from the $12.4 million reported in Q2 of last year. In closing, we are proud to have delivered on our commitments this quarter, successfully establishing a stable financial foundation that positions us for sustained growth and profits. As we look ahead, we are excited by the catalysts that lie before us. Each one an opportunity to build on this foundation. Our business is now more efficient, more calculated and more focused than ever before. This efficiency combined with our strategic initiatives brings me renewed confidence and optimism in our ability to deliver substantial value to our shareholders. We are just beginning to realize our full potential and this future holds promise for us all. Thank you. Operator, I kindly turn it back to you.
Operator: Thank you, ma’am. Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions]. Our first question comes from the line of Gianluca Tucci from Haywood Securities. Go ahead please.
Gianluca Tucci: Hi, good afternoon guys. Congrats on the quick turnaround efforts. If I could just ask firstly on a revenue perspective, with upcoming activations in the second half, Q3 and Q4, I’m wondering if we’ve hit the bottom from a revenue perspective or if there is more small margin business that needs to be cut?
Felicia DellaFortuna: I would say that given the timing of certain events, Q2 should be our seasonally low quarter out of the year. And that the deprioritization of the video platform is largely included in our Q2 2024 numbers. So, we are anticipating a seasonal lift in Q3, Q4 relative to Q2.
Gianluca Tucci: Okay, great. Yes. So, it sounds like Q2 is a pretty good base to model from. And in terms of seasonality, how should we think about, I guess, like new seasonality for the company going forward on a pro form basis after all the revenue mix has changed here?
Felicia DellaFortuna: So, we anticipate new seasonality to follow the consumer and audience consumption pattern. So, Q4 should be the seasonally highest quarter, with holiday shopping, and certain tentpole events that exist in Q4. And Q3 will include the start of Season 3 NFL, which is not included in our Q2 revenue numbers.
Gianluca Tucci: Okay. Thanks, Felicia. And then just lastly, in terms of gross margins, great growth there. Given the second half should be a bit busier from content perspective, how should we be thinking about gross margins in the second half of the year compared to where Q2 ended at?
Felicia DellaFortuna: We showed a gross margin lift from Q2 2024 versus Q1 2024, and I think that step up, especially as we continue to make the shift that we have in focusing on our owned and operated properties, is a pretty usable step up as we expect sequential improvement quarter-over-quarter.
Gianluca Tucci: Excellent. Thank you, guys.
Operator: Thank you. [Operator Instructions]. We have our next question coming from the line of Matthew Moss from B. Riley Securities. Go ahead.
Matthew Moss: Hi, good afternoon. Thanks for taking my questions. I was just wondering, can you elaborate on the significant performance improvements seen across your network due to the outsourcing of your ad tech stack to Playwire? Is this primarily better yield optimization and higher CPMs? Or how would you characterize that?
Felicia DellaFortuna: So, being able to partner with Playwire, gave us the opportunity to enact certain things that we thought we’re going to be best both for overall yield as well as audience engagement. And we were able to do that faster in having a partner like Playwire across all of our individual sites. So, the changes that we were able to make in the short timeframe of Q2, where we were only live in Q2 about a month and a half. And so we started the transition mid-May, 2024. We were able to increase viewability of certain ad units. We were able to increase density, across our apps and websites. And with all of that and being able to consolidate across one ad tech stack platform. Our owned and operated sites got the benefit of yield, in the great being part of the greater ecosystem of enthusiast gaming.
Matthew Moss: Great. Okay. Thank you. That was really helpful. And I’m not sure if you broke this out in your release, but I was wondering how much of video programmatic was included in your 2Q results and what level we can expect going forward?
Felicia DellaFortuna: Video programmatic in our Q2 results was at around 3 million. And so we do expect that to lower in Q3 20204 and Q3 2024 to be the base point going forward.
Matthew Moss: Got it. Okay. All right. That was helpful. Thank you. And just one last question for me. I was wondering, now that your team has made significant progress in profitability, what might 2025 look like? What is the plan for that?
Adrian Montgomery: In terms of, like, a forecast or something like that?
Matthew Moss: Yes. Yes. Just in terms of estimates. I mean, you hit a great record quarter of adjusted EBITDA. I was just wondering in terms of going forward in 2025, what do you expect?
Adrian Montgomery: Look, I think that while we don’t issue guidance, I think we have hit a milestone in Q2. And as I said last quarter with the reconstruction of the financial profile of the company, the question of our ability to deliver scalable profitability is now a mathematical question. It’s not an aspirational question. And what I mean by that is and I think this was pointed out in the release, a year ago we were a company trying to build scale at a 35% gross margin and today we’re a company trying to execute and build scale at a 66% gross margin and much prefer that situation than the former. And what I would say is, given this milestone, the challenge and the mandate for management is to reinvigorate growth into the DNA of this company. And that growth comes at $0.66 of every dollar to the bottom line. So, that hard work has been done. And the next iteration in ‘25 and the balance of this year is to reinvigorate scalable growth at high margin to this business, which is why, you’re hearing optimism and confidence in our voices.
Felicia DellaFortuna: And I would also add that Q1 2025 will have a harder comp, because a lot of the changes started in Q1 2024. And so in terms of comparisons, I expect Q2 2025 to be a clean comparative point relative to Q2 of this year and one where we can start to really deliver financial results.
Matthew Moss: All right, great. Yes, thank you so much for taking the time to answer my questions and congrats on the big milestone.
Adrian Montgomery: Thank you.
Operator: Our next question comes from the line of Kevin Krishnaratne from Scotiabank. Go ahead please.
Kevin Krishnaratne: Hey, good afternoon. Question on the top line on the direct sales deals. Can you remind me in Q1, I think there were some deals or campaigns that you thought were going to land in Q1 that you figured would come in Q2 or later? Did any of those land or are those still to come in the coming quarters?
Adrian Montgomery: Still to come in the coming quarters.
Kevin Krishnaratne: Okay, good stuff. And then just again on the top line, I’m wondering you talked about some of the strength in a bunch of new logos coming on board. Anything to note there in terms of new verticals popping up that you may be getting stronger demand from relative to prior years? What I’m thinking of, I can’t remember how much sort of like political spend you might see or might benefit from election cycles. Just any thoughts you can give there on different verticals?
Adrian Montgomery: Yes. So, I think there’s a number of key things that have happened and are happening right now. Certainly, in my remarks, Kevin, I highlighted McDonald’s and Coca Cola. In for companies like ours, it takes years to get an IO from a Coca Cola or McDonald’s and to get into their ecosystem. It is a very, very challenging process. So, to be able to nab companies like those as partners and clients for the very first time is extremely significant. These are the most sophisticated media buyers on planet Earth. And we’re very encouraged by that. We’re encouraged. I think in previous calls, going back 12 months, we would have talked about the impact of actors’ strikes and the slowdown in Hollywood. In Q2 of this year, we had the return of number of entertainment brands to enthusiasts, Paramount, Disney, Warner Brothers, Universal Pictures. We’ve done multiple activations with Amazon, which is one of the things I’m most excited about. And we’ve been part of the promotion for some of the most successful movies of the year, including Fall Guy, Kingdom of the Planet of the Apes, Inside Out 2, probably the biggest movie of the year, and Invisible Friends. So those the return of entertainment, cracking Coca Cola and McDonald’s and yes, we are in an election cycle this year. There’s been a lot written about the importance of the Gen Z vote to both Republican and Democratic campaigns. We have already received, sizable RFPs in that arena. And so, those are three pretty good bellwethers from a direct sales perspective.
Kevin Krishnaratne: Good stuff. Love to hear that. The final question I’ll just ask you is on the OpEx base. Felicia, can you remind us, is this a good base to use into Q3? Or I’m curious about the commentary that you made on ramped sellers. Do those increase in Q3? Can you talk about like how big the direct sales staff is right now and your plans on that unit going forward? Just any thoughts just on both the OpEx base going forward here and then just your direct sellers structure? Thanks.
Felicia DellaFortuna: So, in Q2 2024, it did not include any content spend associated with either the NFL or the NHL. So, we do anticipate increases in Q3 and Q4 in OpEx, associated with the launch of those two, in the back half, but not a material increase quarter-over-quarter, as we focus on profitability. And then with the addition of the ramp sellers, so at the end of Q2, we were at about half of the sellers, relative to the year ago period. And so adding, seven sellers will slightly increase the seller count versus where we were in 2023, which we are excited about in terms of investment. But that should also not be a material driver of the operating expense in Q3, Q4.
Kevin Krishnaratne: Got it. So just to get again, you at the end of Q2 or in Q2, you had half the number of sellers as of at the end of Q3, but that’ll go up by seven sequentially?
Felicia DellaFortuna: Correct.
Kevin Krishnaratne: Got it. Okay. That’s it for me. Thanks again.
Adrian Montgomery: Thank you.
Operator: Thank you. This does conclude the Q&A portion of today’s conference. Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your line. Have a lovely day.